Walter Ruddy: Good afternoon, everyone. And thank you for participating in Porch Group’s First Quarter 2022 Conference Call. We issued our first quarter earnings press release today and furnished our related 8-K to the SEC. The press release can be found on our Investor Relations website at ir.porchgroup.com Joining us today are Matt Ehrlichman, Porch Group’s, CEO, Chairman and Founder; Marty Heimbigner, Porch Group’s CFO; Matthew Neagle, Porch Group’s COO; and Adam Kornick, President of our InsurTech Division. Before we go further, I would like to read the company’s Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Today’s discussion, including in response to your questions, reflects management’s view, as of today, May 10, 2022, only. We do not undertake any obligations to update or revise this information. Additionally, we will make forward looking statements about our future financial or business performance or conditions, business strategy and plans and anticipated impacts from pending or completed acquisitions based on current expectations and assumptions. These statements are subject to risks and uncertainties, which could cause our actual results to differ materially from those forward-looking statements. And we encourage you to consider the risk factors described in our SEC filings for additional information. On today's call, we will reference both GAAP and non-GAAP financial measures. For reconciliation of non-GAAP measures to most comparable GAAP measures discussed during the earnings call, please refer to today’s earnings press release. To submit a question during today’s presentation, please log into the webinar and submit it through the chat function. Management will do its best to take all questions within the allotted time. As a reminder, this webcast will be available for replay shortly after the conclusion of this presentation on the Investor Relations section of company’s website at porchgroup.com. The slide presentation will also follow along with the presenter’s commentary and can be found on the company’s website. Today in addition to covering first quarter 2022 results, 2022 guidance and KPIs, the team will provide a deep dive into our Insurance business. And with that, let me turn the call over to Matt Ehrlichman, CEO, Chairman and Founder of Porch Group. Matt?
Matt Ehrlichman: All right. Thanks, Walter. Appreciate it. Good afternoon, everybody. This marks Porch Group's sixth quarter so far in the public markets. Once again, we're announcing strong quarterly financial results, meeting company revenue and profit expectations. These results should give confidence and certainly have this affirming our previously disclosed guidance and highlight the strong performance across the business and the continued success of our unique strategy in insurance and home services. Before we get started, I'm going to take a few minutes to share my thoughts. We'll then provide financial results and KPIs for the first quarter and later dig a little deeper into some of the initiatives that will strengthen our competitive position. In particular, Adam Kornick, the President of our InsurTech Group is joined today to provide an update on our Insurance segment, which includes and continues to perform well and is expected to contribute 40% of 2022 revenues. I'll pick up by noting that we are not blind to what's been happening in the market over the last five months, nor are the challenges others are seeing related to the housing and reinsurance markets. Clearly, we've gotten lumped into broad-based stuff. The good news to report. The business is performing and the strategy is working. We continue to perform against near-term expectations, while simultaneously making strategic progress against this massive opportunity that's in front of us. Case in point, year-over-year, in Q1, 2022, revenue was up 134% and adjusted EBITDA margins were improved by a full 25 percentage points with us today affirming our full year 2022 revenue and EBITDA guidance. At the same time, we're excited to announce that we have filed and received official approval from three states to start using specific Porch’s proprietary data and pricing of insurance with more to come. As we noted, our business is not as susceptible as others to a housing decline. Approximately 70% of our revenue this year is expected to come from B2B SaaS fees and insurance, both of which created a strong recurring revenue engine and neither of which would be expected to be impacted a material level by shifts in the housing market. Yes, parts of our business feel the impact of the slowing housing market. And yes, we would be growing even faster if more homes are being sold. But as we said, the slowing market, we've seen thus far was built into our assumptions and guidance. Given we are so early in our journey with a large opportunity ahead and given our unique strategy presents many levers to drive growth, we're performing right through this slower housing market and expect to continue to do so. For those that are new to Porch, slide 6 here outlines a unique strategy to win in these large home service industries. We provide software and services to businesses in select strategic verticals to help those companies grow. By doing so, we generate B2B recurring revenue from software, B2B software fees as well as gain early and ongoing access to consumers. We helped improve their home buying and homeownership journey. With the consistent stream of homebuyers, we generate to B2B2C transaction revenues by helping with the purchase of essential services. Insurance and home warranty are the services we focus on most given when we sell them to consumers, we can create ongoing recurring revenue and a durable relationship. Here with insurance, we operate this business in a capital-light manner seeding the vast majority of premiums to third party reinsurers, who carry the bulk of the risk, volatility and the capital requirements with an expected risk levels, allowing us to get to scale both rapidly and more predictive. So starting here on the top of slide 7, our priorities for 2022 remain the same with one tweak to number six. So number one, sell vertical software to more companies are core go-to market; two, embed key services and consumer experiences into our software products in a variety of ways to get in front of more consumers and increase our B2B2C transactions. We've just launched insurance embedded within our Floify mortgage software, providing an entirely new and expanded home buyer audience to delight. Three, we extend our experiences, our digital tools and our app to consumers, we get unique and early access to in order to increase conversion rates on our B2B2C transactions. We've also advanced our consumer app and intend to provide it to every homebuyer working with one of our partners inspectors. This is not only a way for us to increase conversion rates, but also to get access to far more consumers. Number four, to continue to grow our insurance business, both rapidly and profitably, including launching new products in a new geographies. As you may remember, when we had first acquired HOA, a little over a year ago, they were operating in six states. With our most recent announcement of expansion into Nebraska and Wyoming, we now offer our own insurance products in 17 states. We're also integrating home warranty and maintenance services to create a full home protection plan. Number five, we'll continue to build out our data platform and start to leverage Porch’s unique insights to improve pricing for our insurance and warranty products. I'm excited about what Adam will cover later on here in the insurance section. Again, we filed and received approval to use its first key data in our insurance pricing in select states.  At number Six, a change as it relates to our M&A priority. As we discussed last quarter, given the shift in the cost of capital, the importance of prioritizing scaling our systems and the relative public to private market valuation gaps that can exist, we do view 2022 as a lighter year of M&A and one where our larger focus is going to be on the integration of prior acquisitions and financial controls over our financial reporting. Certainly, we remain excited about how our platform can accelerate growth in the right acquired companies and we would look to focus more on working capital here in the future once the market promises.  So with that, I'll turn it over to Marty Heimbigner our CFO to discuss our first quarter results. Marty?
Marty Heimbigner: Thanks, Matt and good afternoon, everyone. As Matt mentioned, our business is performing very well and was able to report another strong quarter, putting us in an excellent position for the remainder of 2022 and is keeping us on track to achieve great results for our shareholders, including breakeven adjusted EBITDA for the second half of 2023. In parallel, we have accelerated key hires across the accounting and IT organizations to address internal controls and compliance with our obligations under the Sarbanes-Oxley law. Looking at Slide 9, the year-over-year comparison of our first quarter results is impressive. For the first quarter of 2022, Porch Group's total revenue grew 134% to $62.6 million, an increase of $35.9 million from the prior year same quarter and ahead of expectations. In addition to the strong revenue performance, revenue less cost of revenue was 66%, in line with our expectations. And adjusted EBITDA margin was a negative 11%, a 25 percentage point improvement from the prior year. Adjusted EBITDA loss was approximately $7 million in Q1, a nice year-over-year improvement. Gross written premium was a healthy $102 million in Q1, which is our seasonally low quarter.  We provided annual guidance about eight weeks ago when we were already had good visibility into Q1. We are certainly pleased with the performance of our business so far this year and are affirming our full year 2022 guidance with revenue guidance of $320 million, up 66% year-over-year and revenue less cost of revenue, what we use as a measure of gross profitability of $210 million, up 57% year-over-year.  2022 EBITDA guidance also remains unchanged, approximately a 400 basis points year-over-year margin improvement, which produces close to negative 9% adjusted EBITDA margin and improved full year adjusted EBITDA dollar performance. We continue to invest in strategic growth initiatives, as well as acquisition integrations to address our internal control environment. Because much of our cost structure is fixed and the underlying margins of our business are strong, we are able to manage the growth of these expenses and to be confident in achieving our medium-term goal of breakeven for the second half of 2023 and our long-term target of 25% adjusted EBITDA margins. Additionally, we are pleased with what we expect to be our $600 million gross written premium insurance business, and we'll share more about progress here later in the presentation. Given the strong Q1, we are excited about the ongoing performance and momentum at Porch. With that, I'll turn it over to our Chief Operating Officer, Matthew Neagle to discuss our operating segments and KPIs.
Matthew Neagle: Thanks, Marty, and hello, everyone. I agree. We certainly feel good about how the business continues to perform and how it has performed over time, as you see here on slide 11. You can see a strong 66% year-over-year revenue growth that we set in 2022. The most significant potential areas of positive upside to this year are initiatives such as the initial integrations with Floify and the rollout of our app to consumers to on factors. Other factors that may impact our results include unusual weather, especially in Texas, which can be muted given our reinsurance strategy and also the timing of the CSE acquisition, which is assumed and remains on track for mid-2022. We -- we feel comfortable with the current expectations of softness within the housing market that have been built into guidance and our reinsurance relationships landed largely as expected for the 22 years. I'll first jump in and share 2022 guidance for our operating segments and then report on our KPI performance from Q1 2022. Turning to slide 12. The most valuable, strategic and recurring elements of our revenues are growing the fastest. We generate revenue from two segments. Overall, our vertical software segment is expected to produce approximately $190 million in revenue in 2022. We generate this revenue from our software through both B2B SaaS fees and transactions. The other high retention and recurring portion of our business is insurance segment revenue, which is also growing rapidly and is expected to contribute 40% of overall revenue in 2022. As one thinks about our current valuation, a few things I believe are worth a reminder. You can see here on slide 13 that approximately half of our vertical software segment revenue or approximately 30% of overall company revenue comes from B2B subscription fees. The monthly fees companies pay us for our software and services. This revenue stream alone is expected to near $100 million this year and is high-margin revenue. We have built or acquired and accelerated the high-quality leading software companies in large key vertical markets with the three most important being; ISN, Floify and Rhino [ph]. So if Porch’s only revenue stream would be approximately $100 million of SaaS fees, the comps in respective multiples for that business will be quite clear and represent a substantially higher market capital loan. Similarly, we'll highlight insurance on slide 14. We'll recognize revenue as a percentage of gross written premiums in the mid-20% range, depending on the quarter. This contrasts with a more traditional reinsurance approach that would have us recognize the vast majority of premiums is revenue and retain more risk overall. This means our business requires less capital and would be expected to experience lower volatility with an expected risk levels in our P&L than other insurance companies. Our insurance revenues become consistent, more predictable and higher margin in this context. If our business were only an InterTech business, the industry multiples would be clear in considering our $600 million of gross written premium, our capital-light strategy, our profitability and fast growth and our long-term CAC and data advantages on this basis alone, valuation would also be a substantial step-up. Value will be recognized over time. In the meantime, we will continue to execute effectively and ignore the noise. Despite any near-term dislocation and though there aren't any companies that do exactly what we do, we are certain that the software plus insert insurance combination is working well, should continue to scale rapidly with high margins and gives us substantial long-term advantages. You can see our unique strategy continuing to work as we turn to our KPIs. Beginning with companies here on slide 16, we saw growth in the average number of companies in the first quarter to more than 25,500 which is up from approximately 24,600 in Q4 2021. Revenue per company per month in Q1 was approximately $817 per month, up approximately 28% from the same quarter of prior year. There is substantial runway to continue to drive growth in revenue per company as we continue to sell in more software modules to increase our B2B SaaS fees as we get access to more consumers from these companies and as we then help these consumers with more services. The opportunity here is large with many years of continuous improvement ahead. As we noted in previous calls, we expect net new company adds to continue to grow, but more slowly in 2022 versus 2021, I – what we saw between Q4 2021 in Q1 2022 is what we expect to be a reasonable and sustainable pace of growth during 2022. While there were no acquisitions during Q1, I would note that Q2 will include RWS, which will add approximately 1,000 companies. As you can see on slide 17, in Q1, we continued to see strong growth across all types of monetized services with us recording over 254,000 for the quarter, representing 40% year-over-year growth. We saw $176 per monetized service, a 91% increase year-over-year and a nice step-up from Q4 2022 as we continue improving our insurance sales efforts. Insurance and home warranties are our fastest-growing services with moving as the next. Let's now jump into additional disclosure related to our two operating segments. I'll take vertical software and Adam Kornick, the President of our Insurtech division can jump in to begin updates and a deep dive into our insurance business. On the left-hand side of slide 18, we provide Q1 results for our Vertical Software segment. We realized $34.7 million in revenue, a 40% increase from the prior year and 55% of our total Q1 revenue. Of this, the majority of B2B SaaS fees with the substantial balance being transactional revenue we generate from the consumers who work with the companies we serve. Adjusted EBITDA margins for this segment are generally lower in Q4 and Q1, given the seasonal aspect of this business. As a reminder, our software companies service more customers in Q2 and Q3, which then generates more transactional revenue for us in those quarters. Q1 is also historically our lowest quarter from a seasonality perspective and at almost $140 million ARR, we are in a good spot against our full year guidance. Adam, over to you for our Insurance segment.
Adam Kornick: Thanks, Matthew. On the right-hand side, our Insurance business continues to grow rapidly and demonstrate strong margins. In Q1 2022, gross written premiums were higher $102 million, we do reminder that Q1 is a seasonally low quarter this year and before adding RWS and CSE. Segment revenue was $27.9 million. Given our capital-light approach to insurance for predictability, revenue, margins and retention rates are very similar to typical B2B SaaS fees, as you can see with the underlying margins. We derived much of our insurance segment revenue from insurance carrier commissions, reinsurance ceding commissions and fees. Plus, as you see, we had strong underlying margins around 12% adjusted EBITDA margin. We are different than others in our insurance business is already nicely profitable despite rapid geographic expansion and product investments. HOA and warranty business were profitable pre-acquisition, and our insurance agency has privileged and lower-cost access to demand, which is typically one of the larger cost for a business like this. Fundamentally, we have a low CAC, strong underwriting that will continue to improve with our proprietary data and given the strong underwriting history, lower volatility in capital requirements, all of which helps to create a high-margin opportunity. Here on Slide 19 with regard to our insurance-specific KPIs at the end of Q1 we approximately 338,000 policies, and we're generating an average of $330 of revenue per policy per year. On a rolling 12-month basis as of March 31, 2022, we had an 89% customer retention rate in our insurance business. You can see we now offer our own insurance products in 17 states. We'll now dig into a few other topics related to insurance. First, an update on CSE, the California Insurance acquisition we signed in the fall of 2021. We continue to work through the regulatory process and still anticipate closing likely in mid-2022. Here on Slide 21, you can see HOA's continued strong underlying underwriting performance. Note, this is looking only at our Homeowners of America carrier and MGA. Our agency is not included here as they sell policies and receive distribution commissions without any undervalue. Over the past five years, we have performed favorably compared to the broader homeowners industry. With an average 68% loss ratio versus the industry's 70%. This includes the challenging year that Texas underwriters saw in 2021. Our 2021 loss ratio of 100% was driven by the severe weather events in Texas. The state that currently represents the majority of our carrier premiums, where the overall Texas industry saw 106 loss ratio. There are a couple of data points to see how well we have performed in underwriting over time. First, you continue to have broken out attritional loss ratio, which is all non-lever and non-catastrophe claims. You can see in the light blue that the performance here has been consistently exception, averaging 20% over the last five years. Separately, looking back at the prior full year from 2017 to 2020, our average loss ratio was 60% versus the U.S. industry average of 70%. These figures are industry-wide comparisons where we show very well. I would note that if you look at some of the faster growing tech-enabled platforms, we can pay even more. And reason we believe our capital-light model is attractive, even with a high loss environment across the industry in 2021, our insurance segment still recorded a 16% positive adjusted EBITDA margin. As we continue to expand, our underwriting results to be less tied to Texas via geographic diversification. As we continue to bring in more course proprietary data, our pricing accuracy will only continue to improve. Our solid historical underwriting performance is important to maintaining our favorable relationships with our insurance partners. And one of the reasons we have performed as well as we have in our annual renewals in a different difficult macro backdrop. Let's turn to slide 22 for an update on our capital-light model and the 2023 VA transfers. We are proud of our long-term partnerships with our metrics. As you can see here on slide 22, over the prior three-year period from 2019 to 2021, we see over 91% of our [indiscernible]. We strive to provide access to a profitable underwriting business for our insurance plans, and this has allowed us to rapidly grow our business without the same need of capital we have as we retain premiums in line with the broader industry. While 2021 was a challenging last year globally for the insurance initiative, we were well positioned for national carriers. Given the better than the industry underwriting results discussed in the previous slides, we have maintained good relationships with reinsurers and our overall 2022 reinsurance for [indiscernible]. Our reinsurance program generally renews on January 1 and April 1 of our share in excess of loss relationship respectively. In total, for 2022, we are retaining approximately 12% to 14% of premiums, more than the previous year, given the reinsurance market, building why I move our expectations and what we had assumed in 2022 guidance. We have done this while effectively managing the cost of reinsurance and our effective fee and commission. Again, both are in line with our expectations and guidance. We believe this is different and better than the overall market because of strong historic underwriting results of the mines. Strong growth with consistently profitable performance and more underwriting advantages ahead as we utilize more of proprietary data to create those results. As we've noted before, we did put in place pricing increases in advance of 2022 loan, we have not seen any change in retention rates with these indices when we continue to grow the number of consumers that are helping with insurance and references. We feel good about the community trans renewals and the 2022 growth, especially in light of the challenging backdrop of reinsurance. We are confident in our ability to continue to scale our insurance operations and deliver for consumers, reinsurers, independent agents and carrier departments. Turning to page 23. We are excited to share the product enhancements, which are now live for consumer disusing a Floify mortgage point-of-sale offering. Now, when the consumers are getting loan, we have integrated homeowners insurance, making it easier for these homebuyers to improve as require. We launched the beta within the last month to provide on applicants and easy way to compare rates from multiple carats. We are excited to help loan officers provide a better experience with higher conversion to our customers and to continue making the home buying process easier. As always, we first roll out features to a subset of customers' resistant stats. We've seen positive reactions from loan officers and believe to see another example of how our unique capabilities help simplify them. Lastly, here on slide 24. I want to get an exciting update on the first milestone of using Porch's proprietary property data to improve the pricing accuracy for Homeowners of America, customers. As discussed in the past, Porch has unique data about properties that only we have access to. We are confident this data will be able to rollover the price to low risk consumers and raise the price of insurance for those belongings. We have now successfully demonstrated that we can leverage Porch's data in non-insurance vesting, file new pricing changes and get approval from safe valuations. By utilizing our inspection data set came in the 15-plus years of claims data we were able to model, file and implement new pricing. So far, the states of Arizona, Virginia and Georgia have approved our use of the location of water here as part of our pricing. Our data shows that is the water here in [indiscernible]. The consumer would incur lower fleet cost than of [indiscernible]. We have now booked in the appropriate pricing based on locations. This is only one example of the data fields that inspection report can uncover for recent insurance underwriting. Looking ahead, we continue permitting more data and then we're looking to evaluate piping material, reef condition, system age, the number of issues identified in home and more. We will continue to refine our pricing models to drive profitable growth, and this is just a start of what we will be able to incorporate to create advantages in a difficult for owners to repo. Winning in insurance is first and foremost about pricing accuracy, and we have a long runway ahead to continue to improve and leverage our platform. With that, I'll turn it back over to Matt.
Matt Ehrlichman: Thank you, Adam. I'm proud about the work that's happening there. It's a great, great progress. I'll wrap up with a brief note of encouragement for our long-term shareholders, focus on the fundamentals and be patient. The current short-term equity market, in our view, is illogical. We have a business here that we expect to continue to grow revenues and margin nicely, but even more so has the opportunity to become a great, truly great generational company and a winner in multiple massive industries. With our unit economic advantages that we have today, we believe we'll win in providing software to key strategic home service verticals. With our expected demand and data advantages, we believe we'll be able to build one of the largest and most profitable homeowners insurance companies over time. So looking ahead, we have sufficient cash to execute on our strategy. We have more than four years prior to the maturity of our convertible note. We're prioritizing and making excellent progress on integrating past acquisitions and ensuring that the appropriate controls are in place, and we continue to make strides toward adding strong governance where we just announced the shareholder-friendly approach of board declassification. We'll continue to do what we've done since we've gone public, execute, make substantial strategic progress that deepens our competitive moats and deliver solid and consistent results. We had a great Q1, I'm fired up for the remainder of 2022. And with that, management team will take your questions. So Walter, if you can go ahead and open up the line for Q&A, I'd appreciate it.
A - Walter Ruddy: Thanks, Matt. We have approximately 30 minutes for questions. We'll start by taking questions from purchased sell-side analysts. First question comes from Jason Helfstein from Oppenheimer. John Campbell from Stephens.
John Campbell: Can you guys, hear me okay?
Matt Ehrlichman: Hey, John. How are you doing?
John Campbell: Doing well, doing well. Thanks for taking my questions. So Matt, you guys have expanded HOA into a handful of states since the acquisition. I know it takes a little bit of time to kind of get up and running in each state. You got to win the business and then the recurring revenue has to obviously build up over time. But we've looked at some of the HOA state filings, pre-porch days and some of the states, they launched in -- there was pretty impressive growth, I feel like in the early stages. So I'm curious if you're seeing that with those guys under your ownership? And also kind of with regards to guidance, if you're assuming any kind of new state impact for the full year?
Matt Ehrlichman: I'll kick it off and then Adam one layer on top. The -- we have made great progress, obviously, with geographic expansion, it's been one of the many things that Adam and his team that have focused and, I think, executed really well on. So kudos certainly to that team, going from 6 states, which is where that company has been for quite a while, to all of a sudden being now 17 states a little more than a year later, was a good accomplishment. John, one of the things that we do is when we first launched in a state, the team has obviously all the models in place to say, "Hey, this is what we think is ideal pricing for this particular consumer in this particular home, but we actually artificially start in a more conservative place. So we increase the price to make sure that we just aren't making any mistakes. And as they start to get the data feedback loop in, we'll then be able to start bringing pricing down in that process, it varies by state and the amount of data that we're seeing. But give or take six months before you would really start to see much of a meaningful impact. And then to your point, as you start to sell more consumers from that space, a significant portion of our revenue, you're recognizing over the course of that than 12 months because it's spread out after you sell that policy. So -- is there significance in terms of what we're assuming for this year, I would say we're not being overly aggressive, certainly in terms of how much we're betting on new states. But I would say we're in line with what we have seen in past performance. And anything else I missed that you want to lay on top it.
Adam Kornick: Yeah. I think I would just sum that up by saying that we do all those things as Matt described, and we're comfortable with how that's panning out in sort of the guidance that we've given and how we're running the business. So we feel great about that process what's leading to the profitable growth that we have.
John Campbell: Makes sense. And then, Matt, just as a follow-up, I mean as much as I want you to take the gloves off and kind of fire back at the shorts in your stock, I think you've taken the right kind of professional approach. And obviously, the continued strides in the business, I think kind of speaks for itself. You're a better man than me. But if I can maybe pull you into the arena for just a minute here, what you just announced with the approval of state data, I think that's a pretty good evidence kind of backing your long-term vision. That's clearly an angle that shorts have seeing that the data is either worthless or you cannot use it. So I just maybe want to get your -- take a big step back and get your take on the extent and the type of data you're collecting on a daily basis just to your software? And then how you kind of envision that transforming the model over time, just as a kind of a recap.
Matt Ehrlichman: Yeah, I appreciate the question, John. It's -- as I tell the team, the best thing for us to do is just and Marty said as well, ignore the noise to execute heck out of the business. I mean I feel very confident in what is ahead for the company. And I think you can -- people know the business well, you can see it showing up in the results. I agree with you. I think that we've talked about our insurance, the two most important things of building a very large insurance company, one who can get access to consumers and demand at lower cost. And obviously, we have a huge portion of the US homebuyers that are going through our systems that lowers our CAC. And then secondly, is data, who can be able to price mopectively. We haven't provided an update on our market share in the home inspection industry, but we will do that at some point here this year, because we're excited about our progress. But last update, 28% of all of the home inspections that happen in the country are flowing through our software system. It just means that we know a huge amount about properties and not and uniquely valuable information about properties because the person is in the home for three or four hours documenting everything about the home. And so anyone I hear these questions occasionally about is this data valuable? If any one of those people were to just go sit down with an insurance actuary or a data scientist that does this for a living, I think they would -- it's almost disbelief when we tell those people that people don't think that information will be valuable, because how can it not be valuable. You have 40 pages of information about a home that includes the take or pay for the home. I think that's incredibly valuable information that we can be able to use to be able to price more effectively. So we're excited about it. It will show up in the results over time, and we'll just continue to do our thing and execute. Adam, I think, I know you're excited about that initiative. Anything you'd want to add there as well?
Adam Kornick: Yeah. I think you said it well. I would say I'd like to talk less and show results more, and this is a great place to do it. So I bet my goal.
John Campbell: Thanks guys.
Matt Ehrlichman: Thanks John.
Walter Ruddy: Thanks John. Next question from Jason Helfstein from Oppenheimer. 
Jason Helfstein: Yeah, hi. So first, one of the things that we're hearing with InsurTech is inflationary pressure. So maybe talk about why you think you're well-insulated from it, or how you plan to manage it? And then second, I don't know if you already covered this because I'm multitasking, but gross margins were actually down year-over-year. How much of it was the acquisitions mix versus any other factors? Thanks.
Matt Ehrlichman: Adam, do you want to take the inflationary question? And then, Marty, you can take gross margin, if you like.
Marty Heimbigner: Sure.
Adam Kornick: So Jason, I think the place to focus is HOA, given that the inflation in home values in the US is really what's driving a lot of this. So two things to think about, HOA uses the census constant quality price index to adjust the coverage A or home value of an insured home. So as of today, that index -- so publicly no index that we use and every renewal is increasing the home value by low double digits, and there's a corresponding increase in premium. So we have that – in fact we're aware of the inflationary metric and we designed the HOA insurance products to take that into account. And then in addition, HOA filed average price changes of low double-digit percentages separately from the inflation measures in 2021. So when we put those two things together, we completely agree that inflation in the US particularly in homes is real, but we're addressing them both with the product design and with housing changing pricing.
Matt Ehrlichman: Marty?
Marty Heimbigner: Yes. Jason, you're correct on the revenue -- less cost of revenue margin was 66% in the first quarter of 2022 versus 78% in the prior year. That primarily reflects the fact that in April of 2021, we acquired Homeowners of America. And then later in the year, in September, we acquired American Home Protect, our warranty business. So what you're seeing there is that both the claims related expenses for the insurance business and the warranty business show up in cost of revenue in the first quarter of 2022. When you compare to 2021, we did not have a risk-bearing entity. We just had our insurance agency business. So the prior year was more of a pure Vertical Software Company with our Agency Business. And so that explains the lower cost of revenue less cost of revenue margin.
Adam Kornick: And just to reiterate, Jason, what we're seeing in Q1 is exactly what we had guided to for the year and what we had expected. So certainly nothing that was different than what we've communicated previously.
Jason Helfstein: And then, just a quick follow-up, when you just file the 10-Q, will there be pro formas in there the acquisitions or probably not?
Matthew Neagle: We have segment disclosures in the MD&A portion of the financial statements that provides further breakout on our segment.
Jason Helfstein: Great, thank you.
Adam Kornick: Thanks, Jason.
Walter Ruddy: Thanks, Jason. The next question comes from Ryan Tomasello from KBW.
Ryan Tomasello: Hi everyone. Thanks for taking my questions and congrats on the strong start to the year. Nice to see the reaffirm 2022 guidance, you might have such a fluid backdrop in housing. You elaborated on the different video singles across the business.= But can you say if your outlook for the year has changed at all in specific areas of the business maybe with stronger trends in certain segments offsetting larger headwinds than others, if that's the case at all.
Adam Kornick: Yeah. I can speak a little bit to that. The -- as we said in our prepared remarks, we are seeing some impact as a result of the slowing housing market, but we had anticipated that, and we had built it into our guidance. Most -- in fact, the majority, 70% of our revenue are recurring revenue from either our software or insurance. If you get deeper into, say, some of our inspection and real estate businesses, some of our pricing models there are actually well insulated because they're on a per seat basis, as an example. So we'll feel it a little bit there, but overall, not enough to fundamentally change our guidance and not enough to have like this is doing better than that. A lot of this we anticipated and built into our guidance for this year.
Ryan Tomasello: Got it, and congrats on the slow filing the insurance products launching data, realize it's still early days there, but are there any initial stats or steal commentary avid on how that rollout is going, tax rates? And I guess what the extent of the data actually is today across the 45 platform?
Marty Heimbigner: So…
Adam Kornick: Go ahead, Marty you can take a...
Marty Heimbigner: Yeah. So we have launched it for an initial set of customers. And as we always do, we're rolling it out in a controlled manner. We want to ensure the experience for consumers and for loan officers is great. While we don't share conversion rates publicly, we are excited about the product. Some of the things that we're hearing from loan officers, they really love the UI. They think it's a great use case, especially when borrowers need homeowners insurance as -- and then there are certain segments such as our builder division, where you're working with builders who just really just like doing that the manual insurance stuff. And so they have found it really valuable. But it's seamlessly integrated into that experience and so we're super excited about it.
Ryan Tomasello: Great. And thanks for taking the questions.
Matt Ehrlichman: Thanks Ryan.
Walter Ruddy: Thanks Ryan. Next question comes from Ygal Arounian from Wedbush.
Ygal Arounian: Hey guys. Good afternoon. First, just on the reinsurance challenges and the relationships. It sounds like they're kind of coming in as expected on the renewals. But at the same time, you're hanging on to a little bit more of the underwritten premium. Just can you help us think about how that might trend were close to halfway through the year? And is that something you expect to kind of revert back to normal levels, given the environment, does it make sense to hang on to more? Just how to think about how that evolves in the second half and maybe as we get into next year.
Matt Ehrlichman: Adam, you want to jump in and take that one?
Adam Kornick: Yes, absolutely. So, the main thing I start with is those contracts almost always for a year. So we would not expect to see variations to the end of the year of the contract. It can be from more than one year in some cases. But I'm not for of any time on everything less than a year. So, we wouldn't see any variation there that we would expect. And then our reinsurance program includes a couple of assets co-sharing as well as excess of loss. So, we use those together. So, we might be seeing a little bit less of a co-share, but we're buying more access and loss, we think that protects us. And I don't have any view on what the right design yet will be for 2020. I think that's something that we'll tackle but we're really comfortable in the capability we have and the ability to manage that through strong partnerships and by taking advantage of those different lines.
Adam Kornick: Okay. Thanks. And then on the vertical software, certainly appreciating overall, there's just less exposure to housing is your overall revenue. But just looking at the monetized services, the growth -- it was down sequentially in 4Q, the growth slowed year-over-year from 4Q. Can you just help us think through the moving pieces on the monetized services. Is that the exposure you're talking about on the housing market? Is it seasonality? And then at the same time, the revenue per monetized service was up such I think looks like kind of by far the highest ever. So, what's going on there in that number? Thanks.
Matthew Neagle: Sure. I can speak to this. I'll start first with revenue per monetized service. It is, has been, and continues to be a core strategy for us to focus on high-value services, most notably insurance and warranty. We've communicated we see upside in revenue per monetized service because of that strategy of really focusing on those higher-value services. So, a lot of that is just the success and the expected impact of where we have been focused on higher value services. In terms of number of monetized services, there is certainly seasonality at work between Q4 and Q1. I don't want to say we're seeing anything unexpected. And I would certainly expect us to see material growth in Q3. But that's -- I don't know if you would add anything more to that now.
Matt Ehrlichman: No, I just would say it's generally seasonality. You can see in previous years, typically you'll see a little bit of a tick back from Q4 to Q1. That's just how the cycle works.
Q – Ygal Arounian: Great. Thank you so much.
Walter Ruddy: Thank you, Ygal. Next question comes from Justin Ages with Berenberg.
Q – Justin Ages: Hi. How’s everyone doing 
Matt Ehrlichman: Good.Thanks. Thanks for the question.
Q – Justin Ages: Yes. I was just hoping to first dig in a bit on the $600 million of gross written premiums. Good that that was maintained in this market. But what's it going to take for that to go up in terms of obviously more states, but going deeper? Is it a headcount thing? You need to hire more people to get that up? Just hoping to get a little more there.
Matt Ehrlichman: I mean, there's a lot of levers that are ahead of us to go. That's one of the reasons that we're just excited about what with this next set of years looks like, but I'll go through a handful of them. It starts for us to being able to add more companies. So interestingly, again, our core go-to-market is selling software to more companies -- those companies then provide us access to more and more consumers. Now when we bring new companies into our software, the vast majority of those companies were also getting access to their consumer and introduce to their consumer. But there's other tactics that we're deploying like we talked about with embedding insurance inflow pie, going on our consumer app, and we can be able to get access to even far more consumers to then help them with key services like insurance, which is what we focus on. So there's multiple steps in that funnel where we'll continue to be able to grow the volume of customers that we sell insurance, too. And then, yes, you're exactly, right. There's other things, that we can do such as expanding into more geographies for our own insurance products. There's obviously the opportunity to bundle warranty and to be able to cross-sell both insurance and warranty together to fully protect a home. There might be other insurance products that make sense for us to be able to bundle for those customers. So a number of different levers that we'll pull as we go forward. Last comment would be that of that -- of our base of consumers that are insurance customers of ours, they renew at a very, very high rate. So 89% renewal rate that we just noted. So you get to roll that forward as you move into the next year.
Q – Justin Ages: All right. That's helpful. Thank you and then switching gears a bit, and I know it's early that you just kind of -- we're testing it last quarter and mentioned it briefly this quarter. How does the early returns been on the new port after being good connectivity? Just any update there would be helpful.
Matt Ehrlichman: Sure. The -- what we can share is we're focused on rolling out the app to a larger set of customers. We're currently in closed beta. The feedback has been very positive, lots of helpful thoughts on how we can improve the experience, remain very excited about the opportunity with our app. We have a big opportunity to incorporate a lot of the data that we have to provide some unique consumer experiences. And the update, we can provide from a timing perspective, is we're looking to move out of our closed beta in the middle of this year. So still early, but we're excited.
Marty Heimbigner: And Justin, what we typically do is we go through, as we did today, certain deep dive each quarter. At some point, I would imagine we'll do a deep dive into the app as our product leader join and be able to provide some deeper insights I look forward to that at some point.
Q – Justin Ages: I appreciate the answer to the question, guys. Thank you. 
Matt Ehrlichman: Thanks, Justin
Walter Ruddy: Thanks, Justin. The next question comes from Dan Kurnos from Benchmark...
Dan Kurnos: Hi, everybody. Matt, can we just double click on the data proof points in the quarter. I think most of us thought that, that was going to be probably a back half. And while it is three states, it's still what I would consider, meaningfully, ahead of schedule. I'm sure, it's not had your schedule, but ahead of kind of what I think people were anticipating. You talked about kind of how that flows through. But, is there any way to get maybe an updated framework for how you're thinking about the future opportunities there, whether it's this year, whether it's 2Q, whether it's 4Q, the bulk of it. And obviously, as you said, changes typically take some time to flush through the system. But do we actually start to see some of those proof points this year, because I know that, your prior guidance did not have any or I believe anyway that your prior guidance did not have any of the real data upside embedded into it? That's my first question.
Matt Ehrlichman: Yeah. I think Thanks, Dan. I appreciate the question. So yes, I was excited to be able to start the updates. I think generally, the expectation was for late this year and even just having file, not got an approval from states. So obviously, they're always going to have a few current up ones sleeve. The – there's a couple of different things I would think about. So one is having additional states that we have gotten approval back from three states. There's other states who we'd be able to take this first block of data this first set of pricing work and roll it out to more stage and get approval. So that would be – we will provide updates on that as we go. And then the second block is using more data. And so Adam, in his section highlighted some of the additional data that we would be able to work on and bringing that through into additional filings as we would go to bring more data and get sequential approval from states. No specific timing that we're communicating yet beyond that. But obviously, the teams are already hard at work and just being able to get that organized structure and then flowing through to our actuarial data science teams. Last comment, I'll make and Adam, if you want to add anything, is we will provide updates as we go. I mean, we want to make it really clear that, this data is going to be able to create value because we're very, very confident and convicted that it will. And so there's a number of things that we can share as we go. And so I would expect some point in this year to provide another deep dissection to be able to give an update on what we're seeing. Adam, anything else you want to add?
Adam Kornick: At this time, I'm excited, and I'm really proud of the team could get it done on this time.
Matt Ehrlichman: Yeah.
Dan Kurnos: Awesome. And then, Matt, interesting kind of tweaks to your M&A outlook. I know you and I joke about timing of all of that stuff. I guess, there's been a lot of commentary around incremental investments and growth. And as we look at the marketplace, Matt, it might also be helpful. Clearly, you have a lot of cash on the balance sheet. So you have flexibility. How are you thinking about kind of the puts and takes? Obviously, I know you reaffirmed your guidance. I know where you want to kind of end up the year been consistent sort of upside to EBITDA. But it seem token at the later this year, let's say, getting messier, there could be opportunities we've heard from other companies that marketing maybe gets easier as other guys kind of pull out. So just again, I'm trying to keep at a higher level without – outside of it, the primers of the guidance you've given, but just maybe help us understand your thought process as you go deeper into this year and you start benefiting from a lot of the things like data that you've layered into place in 2021? 
Matt Ehrlichman: Yes. A couple of quick thoughts will be: one, yes, we have $305 million in cash leaving the first quarter here. And so there's -- we're well capitalized to able to go and run our plan. Certainly, we could choose to use that for M&A. But again, it just usually takes in our view, 6 to 12 months for valuation kind of multiples to kind of fully move into private companies. I'll say, certainly, we have zero -- I mean, we have zero interest in using equity, even quite a while ago, to go and do acquisitions. And so now, it just makes no sense, right? And so, we think the prudent thing to do is just have a really clean, solid year, just go execute and do our thing. Maybe there's some small to do, but I wouldn't expect anything substantial from an M&A perspective. And then, see where the world is, you'll hear, as we look at the end of the year, and that could present some interesting opportunities.
Dan Kurnos: All right. Got it. Thanks. I appreciate it. Nice start to the year, Matt.
Matt Ehrlichman: Thanks, Dan.
Walter Ruddy: Thanks, Dan. The next question comes from Mark Schappel from Loop
Mark Schappel: Guys, can you hear me okay?
Matt Ehrlichman: Yes, Mark.
Mark Schappel: I appreciate you taking my question. Matt, a question for you on the relatively new pay-at-close module. I was just wondering if you could just give us an update on some of the progress you're making, signing up some large home inspection companies in the model?
Matt Ehrlichman: Yes. I can just take that briefly. We're continuing to make progress there. We continue to make updates to the consumer payment experience. It's obviously a really unique consumer experience to be able to take your inspection fee, which is non-trivial and bring it into the close and wrap it into your mortgage. We're happy with the progress right now, and the team is working hard talking to inspectors to get them signed up for it. But nothing formal to report out.
Marty Heimbigner: In terms of signing up large ones, I will just say, yes. They have signed up some of the largest inspectors, which you think is going to be -- that's just a very telling set of wins. So more to come, I'm sure, as we go throughout the year.
Mark Schappel: Okay, great. Thank you.
Matt Ehrlichman: Thanks, Mark.
Walter Ruddy: Thanks, Mark. Next question comes from Ben Sherlund from Cantor.
Ben Sherlund: Hey, guys. Thanks for taking my questions. Maybe one on the consumer marketing funnel and then I have a follow-up, just on revenue drivers. In your initial presentation as a public company, disclosed a few metrics to help estimate how many customers you had marketing rights through ISN. But a lot has changed since then. Any data points you can provide on how this funnel has changed since 2020?
Matt Ehrlichman: Great question. We aren't providing anything new today on it, but it would be something we can note for a deep dive as a fall. The only thing, I think, Ben, that is useful to note there is, with some of the technology work that we've done, you can leapfrog really where we have been. We talked about the consumer app as an example. If you provide that to all of the consumers that are going to your inspectors, well, that's a way that you can get access to a far larger number of people quickly. Or same thing, as we embed insurance in the flow, well, that's now just in front of all of those consumers, right? So there are some things that we're able to do, leveraging technology, just to create a better experience and an easier home purchasing experience for these consumers that we certainly are excited about. But behind the scenes, same blocking and tackling, virtually all new companies that come on board were getting access to those consumers during that implementation phase. So it's similar to what we've talked about in the past.
Ben Sherlund: Okay, great. That's helpful. And then maybe one on the revenue drivers. Looking through the filings with the acquisitions you made in 2021 you break out V12, HOA, Rynoh, AHP and Floify. There's also a line in there for a little over $32 million for other acquisitions that contributed about $18.5 million to reported 2021 revenue. Can you help us understand what these acquisitions were?
Matt Ehrlichman: Yeah. There is some things that we've done that are very small, typically that some, for competitive reasons, we wouldn't highlight publicly. So, it's little things we've done in that bucket.
Ben Sherlund: Is there any color you can provide on like what segment they would fall into?
Matt Ehrlichman: I mean, for the most part, the thing that would be most of the acquisitions that we just generally done in our company is in the Vertical Software segment. The things that we've done in the Insurance segment, obviously, Homeowners of America, American Home Protect for the warranty space and more recently RWS, are things that we've talked about on the Insurance segment side.
Ben Sherlund: Okay. Thanks guys.
Matt Ehrlichman: Thanks, Ben.
Walter Ruddy: Thanks, Ben. The next question comes from Mike Grondahl from Northland.
Mike Grondahl: Hey, thanks guys. Two quick questions. One, just as it relates to the home inspection offering that you have. Are you seeing any change in activity? Any change in the per transaction fee or kind of customer leads that you're getting for free? And in the industry, are they waiving home inspections? Are you seeing anything around that?
Matt Ehrlichman: Sure. I can speak a little bit to that. I mean some of the changes that we're seeing is we're building out additional modules. We're seeing a pretty complete solution set come together, which has just given us more opportunities to engage with inspectors. It's a good time for us to engage right before they get busy into peak season. In certain areas, the market is still hot. Certainly, some of the leading indicators are that there's some slowdown. And so we don't yet see a fundamental change, say, in the behavior of inspectors, but we have highlighted in the past in competitive markets, sometimes it works against us because people will waive inspections. And so as the market softens, you'll see less of that. What that means is it's just some of the ups and downs are muted a little bit for us.
Mike Grondahl: Got it. And then any quick update on mover marketing.
Matt Ehrlichman: Yes. I'm excited. We're excited about mover marketing. We have some big logos, which we haven't disclosed publicly have signed up for that program. Our V12 team, if you check out their site, they are fully organized around their mover marketing offering, and we are unique in the space. We have the best data for people who want to do that type of marketing. And we're just building out the offerings and the team, but it's an exciting, unique opportunity that we have in addition to some of the other stuff that we talked about.
Marty Heimbigner: Yes. I would encourage, Mike, you to go to v12data.com and take a look, like it's a unique offering that we have for brands and advertisers in the market, given our knowledge to who these people are that are buying homes far earlier than anybody else. And there's some great data actually on that site in terms of impacts that we've seen from other advertisers and customers. So, that's what I'd point you to.
Mike Grondahl: Great. Thank you.
Walter Ruddy: Thanks Mike. With that, I'll turn it back to Matt to wrap up with his final remarks.
Matt Ehrlichman: I appreciate the questions. Again, it's the Porch team, who's looking great quarter, great to start to the year. We're just going to stay on track, do what we do. With that, again, thanks, everybody, for joining. We appreciate it. Have a great rest of the day. Take care.